Operator: Good afternoon, ladies and gentlemen. My name is Gerald and I will be your conference operator. At this time, I would like to welcome everyone to Marchex first quarter 2009 earnings conference call. (Operator instructions) I would now like to turn the conference over to Mr. Ethan Caldwell, Chief Administrative Officer. Sir, you may begin.
Ethan Caldwell: Thank you. Good afternoon, everyone, and welcome to Marchex's business update and first quarter 2009 conference call. Joining us today are Russell Horowitz, Chairman and Chief Executive Officer; John Keister, President; Peter Christothoulou, Chief Operating Officer; Michael Arends, Chief Financial Officer; and Matthew Berk, Executive Vice President of Product Engineering. During the course of this conference call we will make forward-looking statements that involve substantial risks and uncertainties. All statements other than statements of historical fact included on this call regarding our strategy, future operations, future financial position, future revenues, and other financial guidance, acquisitions, projected costs, prospects, plans and objectives of management are forward-looking statements. We may not actually achieve the plans, intentions or expectations disclosed in our forward-looking statements and you should not place undue reliance on our forward-looking statements. Actual results or events could differ materially from the plans, intentions, and expectations disclosed in the forward-looking statements we make. There are a number of important factors that could cause Marchex's actual results to differ materially from those indicated by such forward-looking statements as described in the Risk Factors section of our most recent periodic report and Registration Statement filed with the Securities and Exchange Commission. All of the information provided on this conference call is as of today's date, and we undertake no duty to update the information provided herein. During the course of this conference call, we will also reference certain non-GAAP measures of financial performance and liquidity including OIBA, adjusted OIBA, adjusted EBITDA, and adjusted non-GAAP EPS. A reconciliation of these non-GAAP financial measures to the comparable GAAP financial measures is contained in today's earnings press release, which is available on the Investor Relations section on our website and definitions of these measures as used by us and the reasons why we believe these measures provide useful information are also contained in today's earnings press release. At this time, I would like to turn the call over to Russell Horowitz, our Chairman and Chief Executive Officer.
Russell Horowitz: Thank you, Ethan, and welcome everyone. On today’s call, I will provide an update on Marchex’s business during what was a challenging environment in the first quarter. Mike will walk through our financial results, and then I will cover our ongoing primary business initiatives and strategy in more detail. John, Pete, and Matthew will join in during the Q&A. Let me begin with a few key takeaways. First, we continue to experience an economic environment that is creating challenges for both advertisers and local advertising industry participants alike. Second, the resulting volatility in the market has made it more difficult than ever to assess our near term outlook. Third, despite these near term headwinds, Marchex remains very optimistic on the long-term opportunity in local advertising. We are focusing on the products that will best enable us to capitalize on the ship and local advertising spending toward performance-based models. And fourth, even in the face of a very difficult environment, we continue to generate cash from operations and have tangible catalysts to increase the cash flow in our business over the long-term. With that as a backdrop, I’d like to highlight a few specific dynamics we experienced in the first quarter, which we expect will continue to pressure the local advertising industry and Marchex in the near term. First, as we discussed in last quarter’s call, certain of our large customers, particular in the yellow pages sector, are experiencing significant operation and capitalization issues. As a result, they further reduced their advertising spending in the first quarter in order to reduce their costs. Despite these efforts to reduce cost and stabilize their businesses, many of them are continuing to face significant challenges. To give some context, Marchex has made significant progress in diversifying our reseller customer base over the past two years. In 2007, we had just one significant reseller from the yellow pages sector. At the end of 2008, we had five significant resellers representing considerable progress in diversifying the partners utilizing our quick and call base products for their advertisers and leveraging the traffic from our local search network. Despite our success at diversification in this category, the net impact of certain customers pulling back their advertising spending in the first quarter, even when we met or exceeded these customers’ expectations, is reflected in the sequential decline in our publishing business. In addition to the budget pullbacks, given the risks from Marchex supporting certain of these partners at historical levels of business based on collectability risks and other factors, we are making tough calls on reducing and in some cases eliminating certain of these ongoing business relationships. This is something Mike will address further in a few minutes. Second, many large advertisers across nearly all major verticals are experiencing lower consumer spending and as a result, throughout the first quarter they reduced their budgets. While there were isolated instances of modest sequential improvement in certain verticals like education, overall we continue to see uncertainty from advertisers. Third, as consumer demand for certain products and services wane due to the economic uncertainty, we saw concurrent decrease in search referral traffic to our local search network in March 2009 compared to December 2008. While these industry trends are impacting our near term visibility, we are taking proactive steps to gain greater control of our business and decrease our dependence on these challenged customers in the present environment. This will reduce volatility in our business over the long term, even if it impacts our near term results. Despite the environment and resulting pressures, we continue to add new advertisers at a solid rate. In the first quarter, we added more than 2,000 new advertisers through our reseller partnerships and direct sales channel, even as many large advertisers reduced and in some cases eliminated their budgets. Because of these reductions, the total number of active Marchex advertisers was flat on a sequential basis; however, the fact that we continue to add new local advertisers, even if the number of small business bankruptcies have increased dramatically and new business agents have reached lows, is an indication that our products are meeting the needs of local advertisers. We are as focused as ever on increasing our local advertising market share in this environment and we believe we have the right products and strategy to do so. Our success in building a profitable business is enabling us to weather the current economic storm while continuing to invest in the products that will create long-term value. At this point, I’d like to hand the call over to Mike to review the financials in the first quarter and then I will cover our primary business initiatives and strategy moving forward in more detail.
Michael Arends: Thanks Russ. While we experienced a difficult advertising environment in the first quarter and were presented with some unique challenges with respect to certain customers, we continue to execute on our plan to drive further efficiencies in our business beginning with our company reorganization at the end of January. These initiatives in tandem with our ongoing progress on key strategic business initiatives enable Marchex to generate $4.2 million in operating cash flow in the first quarter and will continue to put Marchex in a position to capture market share over the long term. Turning to details, revenue for the first quarter was $26.6 million compared to $37 million in the first quarter of 2008. Despite the fact that we delivered the contract of services in full, we did not recognize more than $1.8 million dollars in revenue from certain financially challenged customers in the yellow pages category due to collectability considerations. We will recognize the revenue amounts, if any, upon actual cash receipt. In addition to impacting revenue in the first quarter, the uncollected amounts had a corresponding impact on our operating income before amortization and EBITDA. Revenue from publishing, otherwise known as our proprietary traffic sources, was $11.8 million. Revenue from local advertising services was $14.8 million. Looking first at our publishing revenue, a broad decline in advertising spending led by certain challenged customers has impacted the entire online yellow pages category in a relatively short amount of time. Given we are leaders in this category, the change in the competitive dynamic adversely impacted revenue in the first quarter from several sources in this category and will impact revenue from these sources on an ongoing basis. This area was also disproportionately impacted by the $1.8 million of revenue we are not recognizing until cash receipt. In addition, it is important to note that during the first quarter we began a process of reducing our exposure to certain challenged customers in order to gain greater control of the long-term outlook of our business while narrowing our focus around customers we believe will be important to our long-term growth. As advertisers on a local search network, the yellow pages category in total accounted for 34% of revenue or $8.9 million in the first quarter, which was down from 43% or $15.1 million in the fourth quarter. During the first quarter, certain of these challenged customers accounted for $2.9 million or 11% of total revenue, down from $5.9 million or 17% of total revenue in the fourth quarter. Some of the conversations with these challenged customers are fluid, but as Russ mentioned lowering our exposure here is a key to removing volatility and uncertainty in our business longer term while increasing the strength of our overall customer base. Second, looking at advertising services, lower overall budgets from advertisers continue to weigh on revenue. In the quarter, we saw advertisers in several verticals reduce their advertising spending, including many in some of the most economically sensitive verticals like finance and retail. This broad decline in spending, particularly from large advertisers, offset growth in both Marchex Connect and our call products, which predominantly service small and medium size advertisers. It is important to also note that budgets remain weak going into the second quarter as the economy continues to impact consumer spending going into what is typically a seasonally slower quarter. Excluding stock based compensation and amortization of intangible assets, total operating costs were $25.2 million for Q109 compared to $31.9 million in Q108. In looking at the mix in operating costs for first quarter, excluding stock compensation, our service cost decreased as a percentage of revenue on a year-over-year basis, largely due to he shift in our revenue mix which led to a larger mix in revenue coming from publishing sources. Excluding stock compensation expense, sales and marketing was $7.1 million. We are actively reviewing our marketing expense to find greater efficiencies and expect to make cuts in this line item in subsequent quarters. Though we remain highly focused on our cost structure in an uncertain revenue environment, we continue to make the investments that are critical to Marchex achieving leadership in the local advertising market. We are focused on running our business for the long term and believe it is critical to not under-infest where there are opportunities for Marchex to take market share from our competitors; however, we do expect to continue to drive further efficiencies from our reorganization efforts in the coming quarters. From an integrated sales effort to refinement of our product groups, these new initiatives are just beginning to bear fruit. This is something we will update you on in subsequent calls. Adjusted operating income before amortization for the first quarter was $1.3 million. Adjusted EBITDA was $2.9 million. Adjusted operating income before amortization and adjusted EBITDA are two of the principal metrics we use to measure the progress of our business, liquidity, and our ability to generate cash. GAAP net loss applicable to common stockholders was $1.7 million for Q109 or $0.05 per diluted share. This compares to a GAAP net loss applicable to common stockholders of $1.2 million for the same period of 2008 or $0.03 per diluted share. Adjusted non-GAAP earnings per share, and estimate some Wall Street investors utilize as a supplemental measure of our operating progress was $0.02 per share. During the first quarter, we generated $4.2 million in operating cash flow and had approximately $25.8 million cash on hand as of March 31st, 2009. Importantly, as a result of our focus on our cost structure and current operational progress, we expect to continue generating meaningful cash flow in 2009. Looking beyond this year, our key local initiatives have several tangible catalysts to increase Marchex’s long-term cash generating capabilities. Our ability to generate cash will continue to put Marchex in a good position to have financial flexibility going forward while still investing in our products and customer initiatives. During the quarter, we expanded our share repurchase plan by two million shares and used approximately $6 million dollars to acquire 1.6 million common shares, bringing our total shares acquired under our repurchase program to 7.6 million shares or 21% of our common shares outstanding. While we will continue to be opportunistic with respect to share repurchases, we believe it is important to maintain a significant cash position for financial flexibility. Additionally, we sold a small number of non-strategic domains that yielded nearly $1 million. There is still significant demand for high quality domains and we believe this will remain the case in 2009 and beyond. Between this demand and existing operational catalysts, we believe we will continue to add to our cash balance. To provide an update on our outlook, as previously mentioned, during the first quarter we began a process to review the efficacy of all of our customers. As a result of fluid conversations with certain partners and the fluid advertising environment, we are not releasing guidance today; however, I can give some color on our outlook. First, we do expect second quarter revenue to be down from the first quarter in both revenue areas. We remain in unchartered economic environment, which is further impacting what is typically a seasonally slower quarter. Second, our decisions to reduce our exposure to certain challenged customers in yellow pages category beginning late in the first quarter will disproportionately impact our publishing revenue going forward. Third, the way in which we support advertisers and fulfill their budgets is increasingly centered on calls rather than just click based events. In addition, while our local search network is a valuable part of our overall distribution, our differentiated value proposition for advertisers is increasingly centered on our unique integration of a variety of traffic sources, including our own and operated traffic, search engines, vertical websites, mobile, and other sources. As a result, the metrics around unique monthly visitors and click based revenue generated events on a local search network alone are now significantly less relevant trend indicators for our business. As such, moving forward, we will not be providing these non-financial metrics. Instead, we plan to provide new metrics in subsequent quarters that will give more insight into the core metrics we as a management use in guiding Marchex’s business and better reflect the aggregate value of our unique distribution. We will continue to give our total advertiser number and may give additional customer focused metrics as our business continues to evolve. We will share more details on our next call. Fourth, regardless of these factors and the challenge they present to our near term revenue outlook, we expect to generate a meaningful amount of operating cash this year. In looking at the cost side of the equation, we are focused on the things we can control. In terms of our ongoing investments and our products and organization, we expect that we will realize increased benefits when we return to a more normalized environment and we also expect that when we see growth return, we will gain certain efficiencies and increased operating leverage. As a reminder, revenue is far more volatile than operating costs in general and while costs will continue to decrease in the second quarter, we are continuing to evaluate the business opportunities that will inform our long-term cost outlook. We will continue to update you on our outlook in subsequent calls. We remain optimistic regarding our long-term outlook, given the strength of our pipeline of new customers, particularly with Marchex Connect and our call products. Because of the current progress, we see tangible catalysts for long-term growth in our cash generating capabilities. I’d now like turn the call back to Russ.
Russell Horowitz: Thank you, Mike. While today’s economic climate is clearly challenging for many advertisers, we remain very optimistic on the long-term local opportunity for the following reasons. First, reseller partners in multiple categories, including television, cable, directories, and vertical advertising and marketing agencies are actively looking for ways to further leverage their existing sales channels and assets, whether to broaden their advertising offerings to meet customer needs or to offset weakness in their offline businesses. As a result, in the first quarter, we continued to win new business with Marchex Connect and our reseller partnership pipeline is stronger now than at any prior point. Second, small and medium size business who very often view advertising as a sales channel versus a marketing expense are continuing to migrate their advertising dollars online to the mediums that are most effective at delivering new customers with budget efficiency and clear return on investment. Call-based advertising products are a particularly strong catalyst for moving local advertising spending online as a call is more valuable to a business than a click. Third, Marchex’s proven ability to deliver the intuitive and innovative products that the local advertising market is asking for is evidenced by our continued ability to acquire local advertisers. These products will further place Marchex at the center of the local opportunity for the long term, as those dollars continue to come online. With that backdrop, our product priorities are centered in four main areas. One, further innovating on Marchex Connect with new self-serve advertiser acquisition capabilities, additional local targeting, and deeper integration of our click and call base capabilities, which will provide our reseller partners and advertisers with additional lead generation product offerings. Two, continuing to build our differentiated footprint of local, vertical, and mobile distribution and adding new targeting capabilities to further position Marchex adhere as a primary distribution source for direct advertisers and reseller partners alike. In the first quarter, we added 16 new premium local and vertical websites to Marchex adhere, including internet.com, wad.com, and the big money, which is a division of the Washington Post, in addition to numerous mobile distribution partners further diversifying what we believe is already one of the most broad and differentiated footprints in the market today. Three, innovating on our local search network, which today is a valuable subset of our overall distribution network and continues to provide a unique value proposition for consumers looking for local business information and advertisers who want to reach them in the most efficient manner possible. We will continue to invest in adding to and improving the quality of our local information for consumers on our network, as well as further integrating call base advertisers and inventory into our network. Four, innovating on our call base advertising products, mainly paper call and call analytics. We know from experience that the main growth catalysts for small and medium size businesses, as well as for large service based businesses is incoming phone calls and we will continue to invest in this opportunity. In the first quarter, we added a significant number of new advertisers using our call products. These product and customer initiatives are key elements for Marchex as we focus on positioning ourselves for growth. In the near term, we will also dedicate additional resources to sales of our non-strategic domains. As Mike noted, in the first quarter we sold a small number of domains that generated nearly $1 million dollars in incremental cash flow. Given that historically we have dedicated limited resources in support of this initiative and there is proven demand for high quality domains, this remains a significant opportunity to unlock substantial value in our business and we are committing more resources to it now and going forward. We will also continue to be opportunistic with our share repurchase program, while maintaining or growing our cash position. We are reducing our dependence on, and if need be, removing certain challenged customers to ensure that we are not overly exposed to the risks they present to us both now and on an ongoing basis. We are continuing to exercise discipline with our call structure. While we will not compromise on a long-term competitive position by under-investing in our products and customers, we expect further efficiencies from our reorganization efforts and narrow focus on the products most key to our long-term growth. This will enable us to deliver additional cost savings and operating leverage over the long term. To sum it up, today we’re confronted with an uncertain economic environment that’s impacting our near term revenue outlook. While 2009 is a challenging year, we are taking proactive steps to gain greater control of our business to improve our long-term outlook and growth prospects. We are building new relationships with large reseller partners in diverse categories that can help us grow in 2010 and beyond. Marchex is a strong company. We have a healthy cash position, no debt, and while there may be variability in our revenue this year, we will continue to generate a significant amount of cash. We have the right strategy, we are building great products, and we are winning the high value advertising relationships that will enable us to fully capitalize on the local opportunity and create long-term value. We continue to believe that when the economy and advertising budgets return to a more normalized state, Marchex will be in a very good position to realize meaningful growth. With that, we’d like to take your questions.
Operator: (Operator instructions) Your first question comes from the line of Gene Munster - Piper Jaffray
Gene Munster - Piper Jaffray : If you can address the traffic on the proprietary network and some of those trends. I know you mentioned some of the proprietary remarks, but maybe specifically what is impacting the traffic. Second, you were taking about some of the new products you had mentioned mobile and I think the local and the mobile opportunity clearly is going to be one of the faster growing areas. Maybe you could elaborate a little bit more about what you guys are doing on that front.
Russell Horowitz: Sure. As it relates to traffic trends, last quarter we had more than 27 million unique monthly visitors in December. In this quarter, it was more than 22 million. The primary things that impacted that difference were one, a macro impact as consumers really interacted around commercial domains less, which was a factor, because there’s really three things. The second was search engine referrals and the third was as budgets came down in our publishing business, and we do selective marketing to support fulfillment of those budgets, we’ve lowered that selective marketing, which meant that traffic was impacted as well. So those three elements comprised the delta between December and March. As it relates to mobile, we couldn’t agree with you more as it relates to mobile as a primary source of delivering relevant information to consumers and Pete Christothoulou will add some color there.
Peter Christothoulou: Gene, you’re right. Local is about mobile, and for us, mobile is really a channel for us, a distribution channel for us to take all of our advertiser campaigns and push them into that channel. Particularly now, we’re having a lot of success with our call based campaigns in that channel. We have several partners that we’re working with in that regard.
Gene Munster - Piper Jaffray : Do you guys like on the mobile side you guys have the pieces in place or something still in process?
Russell Horowitz: It’s still in process. We have some very good relationships in the channel. We’re learning a lot and we’re seeing very good results regarding fulfillment of our call base campaigns in that channel, but clearly it’s an early place for us. We have a lot more work to do, but it’s a place we see a lot of promise in.
Operator: Your next question comes from Christa Quarles with Thomas Weisel Partners.
Christa Quarles - Thomas Weisel Partners: Three questions. First, why did it take so long to reduce some of the exposure to the yellow page. I mean you guys talked about it last quarter as being an issue, so I’d like to get a better understanding there. The second quarter and the share repurchases, you actually spent more than what you generated in cash in domain sales and just wondering what the plan is in terms of the magnitude of share repurchase going forward, if cash burn is likely to be what we should expect. Third, on sales and marketing, up 11% in the quarter year-over-year, yet you just made a comment, Russ, that you lowered sales and marketing related to traffic. Wondering are you getting less value per the dollar spent and is that why you’re reinvestigating your sales and marketing costs as a source of cost savings.
Russell Horowitz: As it relates to exposure to yellow pages advertisers, a lot of this develops in real time and we expended a lot of effort in resources to really and diversify those relationships over the last few years. Pretty rapid deterioration in their conditions and how that translated, given that there is value in those businesses, they’re just mis-capitalized and how that in turn would impact both their behaviors and the models through which we work with them. We’re real time and very fluid elements. And so, given where we were last quarter, there was nothing specific, but we saw issues that were in active discussions and felt we should disclose the risks around it. Today we’re here to tell you that some of those risks came to there and as it relates to the evolution of their business models versus what risk tolerance we should have. You know, given as an example, we had $1.8 in services delivered that we couldn’t recognize, but clearly we absorbed all those costs. It makes it difficult to create a manageable long-term framework. So this is a fluid situation. We clearly lowered or eliminated a number of these relationships based on a goal of reducing volatility and focusing our resources in the places we think will translate to sustainable growth. So that continues to be fluid, but those are some of the circumstances of what happened over the last three months. As it relates to share repurchases, today we do have a bias towards maintaining more dry powder. So when we look at where we are both in terms of operating cash generation and opportunities through domain sales, we will air on the side of some cash accumulation, but we still believe there will be excess cash available for selective share purchases and we do think our shares are at a point that through a longer term lens, we have short-term disruption in value, and we think to the extent we have excess cash, it continues to make sense to purchase our shares selectively. Again, there is a bias towards increasing our dry powder, because we think that strategically makes sense. On the sales and marketing side, that was impacted given that we did have some costs in there where we didn’t get the benefit of the revenue given we deferred recognition of the revenue until such time as we collected. So that was a factor, but your point is noted and one we agree with, which is there are opportunities for us to get greater efficiency out of our sales and marketing line on a go-forward basis.
Christa Quarles - Thomas Weisel Partners: One quick follow-up. The $1.8 million owned and operated entirely or some in local advertising services or how did that split?
Russell Horowitz: It was mostly publishing. A small amount related to advertising services, but it was predominantly publishing.
Operator:
Ross Sandler - RBC Capital Markets: First, if I look at your 10-K from 08, I think revenue from Yahoo listings across the domain portfolio was around 11% of total for the year, which would equate to about $16 million. So if I assume that first half of 08 was a little bit stronger than second half, based on the macro environment, is it safe to assume that Marchex is still getting $3 million or so per quarter from Yahoo across the domains and if this is fairly high margin revenue, does that imply like the rest of the businesses are running roughly around break even in the current environment.
Michael Arends: Ross, this is Mike. Let me try and address the first part of your question. I think in some of the revenues you’re attributing to Yahoo in 2008, a portion of that is monetization of our third party platform site box and we took some efforts in the latter part of 2008 to curtail activity and emphasis on the site box platform. So I think from a run rate perspective, the Yahoo monetization, it sounds from your analysis it is going to be a little bit higher, because you’re taking the full 2008 revenues in the first part of that had some attribution to site box. The second part of your question, can you go over that again, please?
Ross Sandler - RBC Capital Markets: If I assume, you know, it was basically $2 or $3 million, so I’ll probably say it’s $2 million or so run rate. You did $3 million EBITDA in the quarter. That assumes that the rest of the business is collectively…they are profitable. Is that a fair statement at this point?
Russell Horowitz: The issue we had here is we absorbed all the cost relating to revenue we didn’t recognize and so you had more than $1.8 million dollars, which dollar-per-dollar was an impact to the top line and EBITDA line. So if you look at overall contribution, clearly we are in an environment where revenue is more volatile than cost, but our other product areas, particularly when you look at Marchex Connect, which continue to operate very well, and growing our S&B business and our call products, where we continue to see growth, are contributing to that EBITDA as well.
Ross Sandler - RBC Capital Markets: One other follow-up on the yellow pages. I think you said the two problematic yellow pages were around 11% of revenue in Q1, down from 19. What’s internally being planned in terms of the online there. Is it safe run rate kind of below 5% of total revenue and if the total category is now at 34%, where do you feel comfortable in terms of total exposure and will we get there by the end of next quarter.
Russell Horowitz: It’s a fluid situation and I’m not going to give a specific answer, not because I’m not willing to. We have reduced these relationships. Some will eliminated, some will be lower. I would expect this will be a lower number than it was in Q1. Potentially, meaningfully so, and it’s fluid as it relates to their circumstances and how that translates to what is an appropriate level of risk tolerance for us. Our focus overall is to diversify across our customer base and our products, but this is a fluid area, although we do expect it to be a reduced exposure.
Operator: Your next question comes from Sameet Sinha - JMP Securities
Sameet Sinha - JMP Securities : On the reply that you gave for why traffic is falling off in the network, you spoke about search engine referrals coming down. Does that relate to any changes made by the search engines? Secondly, can you also talk about the other reason consumers doing less business on commercial domains. Is there a specific characteristic or dynamic or driver that consumers would prefer one way of browsing versus the other in this sort of macro environment?
Russell Horowitz: Can’t give you a bunch of underlying details there where nothing was so specifically dominant. Again, the categories where we felt we could monetization, which have been broadly talked about by a lot of folks in our industry, are some areas that we also saw softness in consumer usage. And as it relates to search engine referrals, nothing specific here. We just from time-to-time can see things move up or down based on a variety of variables and there’s none specific we can offer you today. Happy to take your follow-up question.
Sameet Sinha - JMP Securities : So you mentioned that you did not recognize about $1.8 million in revenues from these partners, but you did about $2.9 million revenues from there. So was it sometime during the quarter that you realized that maybe collection would be a problem, so you recognized but not beyond that period?
Michael Arends: There are specific partners that have specific circumstances that raised issues around whether or not revenue was or was not appropriate to recognize. We reached a determination that we should not recognize revenue on uncollected amounts relative to specific partners. And so, we have reserved against revenue whatever we have a concern about as it relates to collectability.
Operator: Your next question comes from William Morrison - Thinkequity
William Morrison - Thinkequity: This is actually Rob on the call for Bill. A couple of questions. If you could tell us a little bit more about the 4% staff reduction in January. When did it hit in the quarter? If you could sort of round off the financial impact and whether or not there was a charge anywhere in the P&L? Secondly, assuming that you had done the extra $1.8 million, can you give us a clean number on revenue generating referrals, revenue generating events, if you had recognized that?
Michael Arends: I’ll answer the second part first. Unfortunately, because it is specific to certain partners, it did affect our paid events number, but we can’t give you the specifics, because it is so directed to amounts with a very small group of partners. So we can’t give you exact impact, but it did affect our paid events number reflected in that metric. On the first part, the staff reduction, if you look over not just the first quarter, but the end of the fourth quarter as part of our restructuring or reorganization efforts, we had a little over 10% of our total headcount reduced. So we’re looking today at about 300 employees total. If you go back to end of November, we were north of 340 employees and on a go-forward basis, we will see some of the benefits in future quarters. We did realize some of those savings already in Q1, but we should see more of that on a go-forward basis in the second quarter and subsequent quarters.
William Morrison - Thinkpanmure: Was there any severance or any other charge anywhere?
Michael Arends: There are some separation amounts in the first quarter and those are included in the P&L and that’s why I say you will see some of those savings show up more in the second quarter and beyond.
Operator: Your next question comes from Dan Salmon - BMO Capital Markets
Dan Salmon - BMO Capital Markets: Russ, you mentioned on the call that the pipeline for new reseller partnerships has been stronger than ever. It’s been a little while since we’ve heard a new one introduced. Can you talk about some of the dynamics there with new potential partners going on as it relates first to the economy and second, perhaps any changes in the competitive environment as well?
John Keister : There are a couple things I guess I would mention. One is the number of partners that we are engaged with today is substantially larger than what we were a year or two years ago. There’s a lot of interest whereas a couple of years ago we were doing a lot of evangelizing about this opportunity, now we’re getting a lot more inbound calls. Some of the relationships we have been building are in trial stage and may not be appropriate to announce at this stage, but some of them have advanced quite well and we anticipate that 2009 and 2010, these new relationships will be in a place where we can talk about them in more detail.
Operator: Your next question comes from Ryan Bergan - Craig Hallum Capital
Ryan Bergan - Craig Hallum Capital: I think most of my questions have been answered, but can you discuss the turn you saw with local small business customers?
Russell Horowitz: I can give some insights. Turn with small and large customers is higher this year than last year based on well documented circumstances. On an overall basis, the small and medium size business channel seems to be holding up better. So if you look at Marchex as a tale of three cities, you had a publishing business area where we had turn concentrated into a couple of challenged customers in the yellow pages space. When you look at our performance advertising area, you really had some larger advertisers with constricted budgets which have impacted it and we think if things normalize we’ll be well positioned to be benefactors of increased budgets. We also think we’re in a position to stabilize and turn our publishing business as well. And then, really the products focus on small and medium size businesses with Marchex Connect and particularly with our call products have seen more favorable rates regarding turn as well as better adoption rates by new customers. I think that is specific to Marchex and also generally somatic.
Ryan Bergan - Craig Hallum Capital: What was CapEx in the quarter?
Michael Arends: $500,000 in the first quarter.
Operator: There are no further questions in queue. I’ll turn the conference back to management.
Russell Horowitz: We appreciate everyone’s involvement in our conference call today and the thoughtful questions and we look forward to reporting progress as we move through the year. Thank you very much.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. You may now all disconnect.